Operator: Good day, ladies and gentlemen, and welcome to the Nordson Corporation Webcast for the Second Quarter Fiscal Year 2017. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to hand the floor over to Jim Jaye, Senior Director of Investor Relations. Please go ahead, sir.
James Jaye: Thank you, Karen. I’m here with Mike Hilton, our President and CEO; and Greg Thaxton, our Senior Vice President and CFO. We welcome you to our conference call today, Tuesday, May 23, 2017, to report Nordson’s FY 2017 second quarter results and our FY 2017 third quarter outlook. Our conference call is being broadcast live on our webpage at Nordson.com /investors and will be available there for 14 days. There will be a telephone replay of our conference call available until May 30, 2017, which can be accessed by dialing 404-537-3406. You will need to reference ID number 16097170. During this conference call, forward-looking statements may be made regarding our future performance based on Nordson’s current expectation. These statements may involve a number of risks, uncertainties, and other factors as discussed in the company’s filings with the Securities and Exchange Commission that could cause actual results to differ. After our remarks on the quarter, we’ll be happy to take your questions. With that, I’ll turn the call over to Mike.
Michael Hilton: Thank you, Jim. Good morning, everyone. It was another very strong quarter for Nordson, included what was a record first-half sales and earnings per share performance for the company. Including the effects of the Vention acquisition closed during the quarter, not included in our quarterly guidance. We exceeded the high-end of our second quarter revenue expectations and operating margins improved by 1 percentage point compared to the prior year. These results speak to the strong underlying performance we’re seeing across the business and our focus is to continue to improve. Overall, we generated 9% organic sales growth, which is in comparison to a very robust period growth a year ago. All segments and geographies contributed to the current quarter organically. Acquisitions added another 6% growth to top line. We’re very pleased with how all of our new businesses are performing so far. Total revenue was a record [Technical Difficulties]. Diluted earnings per share in the quarter was impacted by one-time charges largely related to Vention acquisition. Adjusted diluted EPS increased by 13% compared to the second quarter a year ago. On a fiscal year-to-date basis, EBITDA free cash flow before dividends increased by 13% compared to the same period last year, inclusive of transaction costs of the acquisition. Our base business is strong, our acquisitions are adding to our profitable growth opportunity, and our global team is executing across the enterprise. Looking ahead, we’re forecasting continued strength for record third quarter performance. At the midpoint of our guidance, we’re forecasting 8% organic growth, inclusive organic growth in all segments. This outlook is based on our current backlog, order rates, project activity, all of which are strong. I’ll speak more about our outlook in a few minutes. But I’ll first turn the call over to Greg to provide more detailed commentary on our current results and our third quarter guidance.
Gregory Thaxton: Thank you, Mike, and good morning to everyone. Second quarter sales were $496 million, an increase of 13% from the prior year’s second quarter. This change in sales included a 9% increase in organic volume, a 6% increase related to the first year effect of acquisition, and a 2% decrease related to the unfavorable effects of currency translation compared to the prior year’s second quarter. The organic growth exceeded the high-end of our guidance driven by the strength we’re seeing across our base business. Organic sales volume in the Adhesive Dispensing segment increased 5%, as compared to the prior year second quarter. This is very solid growth and compares to a robust period a year ago, where organic growth was 9% for the quarter. Our product assembly, packaging and polymer product lines drove the growth in the current quarter. Asia Pacific and the Americas were strongest on a geographic basis. Sales volume in the Advanced Technology segment increased 34% from the prior year second quarter, inclusive of 18% organic volume growth and 16% growth related to the first year effect of acquisition. These segments’ growth is very impressive, given the challenging comparisons from the prior year, where organic volume growth was 20% for the quarter. Nearly all product lines and geographies in that segment contributed to the current quarter organic growth, with most up by double-digit. Segments acquisitive growth includes the first year effect of the LinkTech, ACE, Interselect, Plas-Pak and Vention acquisition. Organic sales volume in the Industrial Coating segment increased 3% compared to the second quarter a year ago. Container coating and liquid painting product lines drove the growth with the U.S., Japan, and Asia Pacific being the strongest geography. Gross margin for the total company in the second quarter was 56%, down slightly from the prior year second quarter, due to the impact of acquisition and inclusive of $2.1 million of one-time charges to step up of the acquired inventory. Operating profit in the quarter was $104 million and reported operating margin was 21%. Including the effect of the Vention acquisition, which was not in our quarterly guidance, operating margin was 24% in the quarter, 1 percentage point higher than the prior year second quarter. Within the Adhesive Dispensing segment, reported operating margin was 29% in the second quarter. Within the Advanced Technologies segment, reported operating margin was 26% in the second quarter, an increase of 2 percentage points over the same period a year ago. Operating margin was 27%, when excluding the short-term purchase accounting charges for the step up in the value of acquired inventory. And within the Industrial Coating segment, reported operating margin was 17% in the quarter. This continued strong operating margin performance by all three segments and reflects our ongoing continuous improvement efforts. For the company, net income for the quarter was $65 million, and GAAP diluted earnings per share were $1.11. Adjusted EPS in the current quarter was $1.35, a 13% increase over the prior year adjusted diluted earnings per share. We have included an earnings per share reconciliation schedule in our press release to reconcile between GAAP earnings per share and adjusted earnings per share. The second quarter’s EBITDA was $123 million, cash flow from operations was $61 million, and free cash flow before dividends was $45 million. On a fiscal year-to-date basis, EBITDA increased 13% compared to the prior year to $217 million, and free cash flow before dividends increased 13% to $116 million, representing strong cash conversion of 101% of net income. Adjusted EBITDA on a fiscal year-to-date basis increased 20% and adjusted free cash flow before dividends increased 23% compared to the prior year, with both measures highlighting the strong cash generation of the overall business. We’ve included tables with our press release reconciling net income to EBITDA, adjusted EBITDA, free cash flow before dividends, and adjusted free cash flow before dividends. From a balance sheet perspective, net debt-to-EBITDA at the end of the second quarter is three times, including trailing 12 months of acquired EBITDA. This level is well below our most restricted debt covenants leaving us with additional debt capacity. And at the end of the quarter, we had approximately $360 million of combined cash and availability on a revolver. As we demonstrated, our strong cash generation enables us to delever quickly, which is our intent in the near-term. I’ll now move on to comments regarding our outlook for the third quarter of fiscal 2017. As we typically do, we provided our most recent order data, both on a segment and geographic basis with our press release. These orders are for the latest 12 weeks, as compared to the same 12 weeks of the prior year on a currency-neutral basis and with acquisitions included in both years. For the 12 weeks ending May 14, 2017, order rates are up 13%, as compared to the same 12 weeks in the prior year. Within the Adhesive Dispensing segment, the latest 12-week orders are up 1% compared to the same period a year ago, where comparisons are challenging as order rates were up 7% at this time last year. Positive order rates in packaging and product assembly were offset by softness in other product lines. Geographically, orders were up in all regions except Europe. In the Advanced Technology segment, order rates for the latest 12 weeks are up 30%, as compared to the prior year. Nearly all product lines and geographies were up by double digits. These order rates reflect strong demand for automated and semi-automated dispensing systems and surface treatment systems related to mobile device and other electronics end markets and fluid management components for industrial and medical markets. Within the Industrial Coating segment, the latest 12-week order rates are up 4%, with organic growth in most all product lines. Geographically, order strength in the U.S. and the Americas was offset by softness in other regions. Backlog at April 30, 2017 was approximately $403 million, an increase of 37% compared to the prior year, and inclusive of 18% organic growth and 19% growth due to acquisition. Backlog amounts are calculated at April 30, 2017 exchange rates. Let me now turn to the outlook for the third quarter of fiscal 2017. We’re forecasting sales to increase in the range of 15% to 19%, as compared to the third quarter a year ago. This growth includes organic volume growth of 6% to 10%, 10% growth from the first year effect of acquisitions and a negative currency effect of 1% based on the current exchange rate environment. At the midpoint of this outlook, we expect third quarter gross margin to be approximately 55% and operating margin to be approximately 24%, or 25% excluding estimated acquired inventory step-up charges and non-recurring restructuring charges associated primarily with our previously announced footprint consolidation initiative within our Adhesive Dispensing segment. We’re estimating third quarter interest expense of about $9 million, an effective tax rate of approximately 29%, resulting in third quarter forecasted GAAP diluted earnings per share in the range of $1.51 to $1.65 per share inclusive of approximately $0.07 per share, or $6 million, or intangible asset amortization charges related to our fiscal 2017 acquisitions, with most of this related to the Vention acquisition. A range of GAAP diluted earnings per share also includes one-time charges of approximately $0.03 per share for the footprint consolidation efforts within the Adhesive Dispensing segment, $0.02 per share for short-term purchase accounting related to the step-up in the value of acquired inventory, and a corporate charge of $0.01 per share for Vention acquisition transaction costs. Third quarter EBITDA is expected to be approximately $164 million, an improvement of approximately 18% over the same period a year ago. With regards to the Vention acquisition, we expect both short-term inventory step-up charges and transaction costs to be mostly complete in our third quarter. And for fiscal year 2017, we’re forecasting Vention to deliver between $0.05 to $0.10 earnings per share, excluding transaction costs. From a performance perspective, Vention will be accretive to Nordson’s EBITDA margin beginning in the third quarter. From an operating margin perspective, we do not expect Vention to have a material impact on Nordson’s overall operating margins once we are past third quarter one-time charges. For Nordson overall, we’re forecasting a full-year effective tax rate of 29% based on current tax law and excluding discrete items. For capital spending in 2017, we’re forecasting normal maintenance capital spending to be approximately $50 million.
Michael Hilton: Thank you, Greg. I want to thank our team for delivering another outstanding quarter, revenue and earnings per share through the first-half were Nordson record. Innovation, premier customer service, strategic acquisitions, and continuous improvement using Nordson business system are driving our performance. And although, global growth is still expected to be – represent a challenging backdrop, we’re forecasting another strong quarter. With that, we’d be happy to take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Rudy Hokanson with Barrington Research.
Rudy Hokanson: Thank you. Could you maybe talk about what you’re seeing in the medical end market since that’s such a critical area, given your acquisitions right now? Is it – does it seem to be an organic type of steady growth, or is there a particular push geographically? I’m just wondering if you could flush it out a little bit more, and if that – if there’s anything else you can say in terms of getting to that level you’ve talked about of maybe $500 million in revenue?
Michael Hilton: So, obviously, we just closed on a pretty large acquisition for us with the Vention acquisition, which doubles the size of our business in the medical space. But if you look at the underlying demographics, we’re seeing more procedures. We’re seeing the move to plastic. We’re seeing more outsourcing, all of that is driving significant sort of a top line growth. But the key to this like many of our businesses is around new products and innovation. And so in all of our businesses, we continue to introduce new products. And so across the Board, that is helping. In some of our businesses that we’re relatively local or North American focused. We’ve been able to globalize those, for example, in our Value Plastics business, we’re seeing nice growth – global growth there. And we’ve been successful with our OEM customers in some strong new product wins. So I’d say, the things that we felt we’re going to drive this business are exactly what we’re seeing driving the business.
Rudy Hokanson: Okay. Thank you. That was my primary question.
Operator: Thank you. And our next question comes from the line of Liam Burke with Wunderlich.
Liam Burke: Thank you. Good morning, Mike. Good morning, Greg.
Michael Hilton: Good morning.
Gregory Thaxton: Good morning, Liam.
Liam Burke: Mike, could you give us a little color on the polymer business? You mentioned in the prepared statements that the business delivered results. Are you through the restructuring, and are you seeing good order flow here?
Michael Hilton: So I’d say, within the quarter, we had nice sales growth across all the product lines. I’d say, we’re starting to see the film business come back. Some of the businesses are a little bit more digital like our pelletizing business tend to be big project related, that was solid within the quarter. So I’d say, across the board, we’re seeing an improvement there. As far as the restructuring, no, we’re not done. We’re in the process in the U.S. of consolidation in our core components business. We have our new facility in Austin town, Ohio, where we’re just bringing in equipment, as we speak. That should be fully up and running in transition probably by the first calendar quarter of next year, where we’re starting to bring in equipment and we’ll be doing that in stages. And then we’re also expanding our facility in Germany, as a – our existing facility as a consolidation moves and that’s probably another year out. So there’s still work to be done there, but we’re making good progress along the lines that we expected.
Liam Burke: Great. And Vention has now been integrated. You have fair amount of liquidity, or you see acquisition pipeline continue to be strong, or how do you view that now?
Michael Hilton: Yes. So, we’ve had the Vention business for about a month. So I wouldn’t say, it’s fully integrated, but I’d say, the teams at Vention and Nordson MEDICAL are doing an excellent job focused particularly on our customers and making sure that we maximize our opportunities there. So we’re off to a good start. I would say, there’s still opportunities and probably the most robust area of opportunities are in the medical space. And I’d say, also where you have this continued interest in the cold materials space. But I’d say, the – probably the most robust area is probably in that medical space, because the market across the different products is fairly fragmented. So we’re in a good spot. Obviously, as Greg said, our primary focus right now is to reduce our debt level. So that we’re prepared for further opportunities in the future.
Liam Burke: Great. Thank you, Mike.
Operator: Thank you. And our next question comes from the line of Matt Summerville with Alembic.
Matt Summerville: Thanks. Good morning, guys.
Michael Hilton: Good morning, Matt.
Matt Summerville: In terms of incoming order rates, it looks like Europe was down kind of in the low single-digit range in the quarter. Can you maybe comment on what drove that and maybe you can give some part comments across your three reportable business segments?
Michael Hilton: Yes, if you look at the order rates in Europe, I’d say, really it’s more a function of some tough comps. So if I look at, for example, our core Adhesives business, our packaging and product assembly is doing well. Our nonwovens is off a little bit, but that’s a function of some large projects last year, as some of our customers were converting to new form factors, for example, in diapers. So I think, it’s really just a tough comp, underlying business is solid, and there’s a lot of sort of OEMs located in Europe. And I’d say, ICS also a little softer, given the – some larger auto orders last year, which again are more digital. So I’d say, there’s nothing fundamentally going on there other than a little tougher comparisons there.
Matt Summerville: And then, is there a way to parse, Mike, the growth you’re seeing in the advanced tech business specifically on the electronics side between new platforms or new mobile devices being launched versus new processes, such as, moisture protection from medically sealing device et cetera, how much of the growth has been driven by those various buckets, if you will, new stuff being launched on the part of your customers versus new processes? Thank you.
Michael Hilton: Yes. What I would say is, first is a general comment on the electronic side. This year, we’re seeing pretty good backdrop across sort of all areas. So mobile is certainly strong, but auto electronics is strong. We’re seeing a rebound in the semiconductor side. So all of those things are contributing number one. Then if you look specifically at the mobile side of things, you get sort of the entrenched global competitors who launched new products – who are launching new products this year. But also as we’ve talked about the growth – significant growth of the sort of Chinese mobile suppliers that we’re doing very well with as well. And a lot of that is the function of our sort of tiered offering structure to support them. And then, I’d say, on the higher-end, it’s really the new products that we’ve offered not only on dispense, but in test and inspection and in select areas of service treatment allow our customers ultimately to lower their cost of ownership by getting more yield out to the back-end, so higher speed more precise spend, better resolution, faster processing of the inspection. There are some products that are related to things like water proofing, but I would say, that’s probably not the primary driver here. I’d say, our new products are getting us traction, whether that’s the high-end, or whether it’s the tiered products with the customer base there and we’re taking advantage of all of the global growth we’re seeing this year, but it’s broader than just the mobile side.
Matt Summerville: Then just lastly, if you back out the acquisitions in ACS, what would your core incremental margins have been in the quarter Greg?
Gregory Thaxton: If you back out all current year acquisitions?
Matt Summerville: Yes.
Michael Hilton: That maybe something we have to get back to you on. We might not have that at, but it will be good, but we’d have to buy that to get back to you.
Gregory Thaxton: Obviously, very strong. If we look at those 200 to 300 basis points with some of the current year acquisitions and it’d be even north of that.
Matt Summerville: Got it. Thanks, guys.
Operator: Thank you. And our next question comes from the line of Jeff Hammond with KeyBanc.
Jeffrey Hammond: Hey, good morning, guys.
Michael Hilton: Good morning, Jeff.
Gregory Thaxton: Good morning.
Jeffrey Hammond: Hey, so just back on electronics, can you just talk about the coating funnel activity levels just as you start to enter this period of tougher comps in advanced tech?
Michael Hilton: Well, I’d say, as you saw from our order rates going into the third quarter, they remain strong. This business is very seasonal though. So if you think about it, the development period tends to be our first quarter early into the second quarter. And the strong order period tends to be second quarter through third quarter maybe into the fourth quarter. So we’re in that peak period of time, where we typically see the orders come in and project activity is high. It tends to taper off in the fourth quarter, because everybody is getting ready for various model launches, et cetera, holiday season, et cetera. So I’d say, we’re in that typical relative [ph] period and project activity is strong, again, it tends to taper off in the fourth quarter.
Gregory Thaxton: But and Jeff, I’ll just add a couple of comments, tying on to some of the comments that Mike made previously, what’s exciting about the opportunities here are the tiering opportunities as we’re reaching a different tier of customer base and what impact that may have on order patterns and seasonality of order patterns. But also the traction we’ve made, as Mike mentioned, around the success with some new product launches and the opportunities that that also provides. So typical seasonality would suggest that strength at this time of year, but also encouraged by the opportunity we have in these penetration of different customers with new products, or different customers with our tiering opportunities.
Michael Hilton: We’ve talked in the past about from high-end dispense capability that we have, the precision on the dots to speed. We’ve also launched a whole new product set of product lines in our test and inspection business, it’s getting really good traction. And some like in our bond testing, which typically have been a back-end packaging environment, we’re now pushing that into the tail end of the front-end and getting some traction on a much more sophisticated complex machines. It’s not carrying the day, but it’s kind of thing that’s a leading indicator of broadening our product point.
Jeffrey Hammond: Okay, great. And then adhesives, it sounds like the biggest issue there is really just tough comps, but any markets really stand out that feel on the softer side, or is it just really just a tough issue?
Michael Hilton: Yes, as I said earlier, if you look at sort of our core adhesives, the packaging business has been very strong and particularly given some of the headlines that have been out there around some of the consumer product companies that it’s been very strong relative to that. Our product assembly that goes into a lot of different applications have been strong. Nonwovens has been solid, but has challenge of comparables year-on-year. I’d say our – as I mentioned earlier, our pelletizing business tends to be digital with bigger projects. So the current orders, I said it’s a little soft, but the project activity is solid. So I feel pretty good about the underlying pace of the business and maybe a little surprised on the upside of how solid the packaging is, given what might be some softer consumer numbers out there.
Jeffrey Hammond: Okay. Thanks, guys.
Operator: Thank you. And our next question comes from the line of Charley Brady with SunTrust Robinson Humphrey.
Charles Brady: Hey, thanks. Good morning, guys.
Michael Hilton: Good morning, Charley.
Gregory Thaxton: Good morning, Charley.
Charles Brady: I just want to ask you about, you’ve had this margin target out there off of 2015 margin of 200 basis points, I guess, by the end of this fiscal year. And I’m just really trying to square that up, I mean, you didn’t obviously update that yet, we’re still halfway through. But I’m just wondering, as you look at these acquisitions, a lot of them obviously here in the medical space, which tend to carry pretty good margins and, obviously, there’s room for you guys to squeeze more out of that. Have you’ve given any thought as to kind of what your longer-term targets beyond this initial target put out there might be to where longer-term margins can go?
Michael Hilton: Yes. So Charley, just a couple of comments. As far as our 200 point target, we made great progress last year, as we mentioned at our year-end call. And we’re essentially there in terms of the 200 point improvement. Obviously, there’s a lot of noise in the numbers, given all the acquisitions we’ve been making recently, but we’re essentially there. We’re not going to stop, there’s opportunities to continue to drive improvement. I’d say, we’re probably not ready to talk about our longer range target. So we’re not going to stop with this improvement effort. And as I mentioned earlier, we’re still working through the polymer consolidation that will yield some benefits in 2018, so we’ll see some additional improvement there. So not necessarily coming out with a long range target, because there’s a lot of noise in the short-term. And quite frankly, one of the reasons we put the EBITDA information out there is that, things can get a little confusing in the near-term, but the cash generation from the businesses, both organic and acquired is really a critical focus, I think, going forward, so we wanted to put that additional information.
Charles Brady: Yes. No, I appreciate that incremental information. And it’s back on the China comments and you answered part of them. But I’m just wondering, I think, China was approaching 50% of advanced tech system sales. Is that – have we hit that 50% mark yet, or are we still approaching that, that’s obviously driven by the China mobile phone market?
Michael Hilton: Well, certainly, China is a strong part of the business, because you have a lot of the final assemblers are in China. But when you look at the extended supply chain for the electronics business, a lot of the components are not necessarily made in China. So if you think about camera modules and speakers and microphones and gyroscopes and all that stuff, there’s an extended supply chain, that’s not necessarily in China. So I’d say, overall, probably two-thirds of the electronics business is still in Asia and in the short-term, it might be a little higher than that. But I wouldn’t say, China is 50% of that given the broader supply chain.
Gregory Thaxton: Yes, and I would add, Charley, some of the new product introductions, particularly in the T&I space are taking us to a customer base that also still resides in Asia, but not specific to China. So China is still, as Mike mentioned, is a big part. But I wouldn’t suggest that it’s greater than 50%.
Charles Brady: Great. Thanks, guys.
Operator: Thank you. And our next question comes from the line of Walter Liptak with Seaport Global.
Walter Liptak: Hi, guys, thanks. Good morning and great quarter.
Michael Hilton: Thanks, Walter. Good morning.
Walter Liptak: I wanted to do a follow-up on what you alluded to earlier from one of the questions regarding the growth rates. And I wonder if the Vention business, if that what the growth rate was of that this quarter and is that in your 12-week order rates?
Gregory Thaxton: Well, this is Greg. It is included in – from an organic perspective in our 12-week order rates. We don’t break that that particular line of business out specifically. But in our most recent order rates, we would look at the current year for Vention, as well as the prior year, and that would find its way into that organic number, as well as then it’s going to be in the acquisitive growth in our third quarter guidance.
Michael Hilton: And as a general comment, Wal, when you look at the medical business, we have expectations of high single-digit, low double-digit kind of growth rates, and that’s what we’ve seen historically and that’s what we expect from the kind of businesses that we have.
Walter Liptak: Okay, fair enough. And then I wanted to ask about corporate expenses and where we’re – if you can give us an idea of 2017 corporate expenses, I don’t know if there’s a GAAP, non-GAAP number, but that would be helpful to? Thank you.
Gregory Thaxton: Yes, okay. Well, it’s Greg, again. In the current quarter – the second quarter in that corporate managed number, you’ve got the transaction costs associated with Vention. So that’s where you see the step-up. We’ll have a minor amount in Q3 that will also show up in that corporate number. But for modeling purposes, I’d expect that to trend back closer to what the run rate had been, call it, in that $10 million to $12 million per quarter range.
Walter Liptak: Okay, great. Thank you.
Operator: Thank you. And our next question comes from the line of Allison Poliniak from Wells Fargo.
Allison Poliniak-Cusic: Hi, guys, good morning.
Gregory Thaxton: Good morning, Allison.
Michael Hilton: Good morning.
Allison Poliniak-Cusic: The margin is obviously very strong. But when I look at our expectations, the incrementals in the investments [Technical Difficulties]
Michael Hilton: Hey, Allison, we’re having a little trouble hearing you, maybe not close to the mike.
Allison Poliniak-Cusic: Is it better?
Michael Hilton: Not really.
Gregory Thaxton: Not much.
Allison Poliniak-Cusic: Okay, I’ll try to yell, sorry. Incrementals in Industrial Coating seem a bit later than expected from our end. I’m assuming, it’s mix. Any color that you can provide there?
Gregory Thaxton: Yes, Allison, it’s Greg. It’s primarily mix of the product lines with Industrial Coating.
Allison Poliniak-Cusic: And are we assuming that’s sort of a same level than perhaps in Q3, given your orders that have come in?
Gregory Thaxton: Well, again, it’s going to depend upon what the mix of those orders for the balance of the quarter. It’s not only what sits in backlog, but what comes in during the quarter. The issue being, for example, our gross margin by product line whether it’s a powder engineered system, or a liquid kind of standard system, container standard system have different margins, as well as than these spare parts gross margins. So really depends on the composition of the system sales, as well as the composition of parts to systems.
Michael Hilton: There’s nothing fundamentally going on with the margins in that business.
Allison Poliniak-Cusic: Okay. Thank you, guys.
Operator: Thank you. And our next question comes from the line of Matthew Trusz from Gabelli & Company.
Matthew Trusz: Good morning. Thank you for taking my questions.
Michael Hilton: Good morning.
Matthew Trusz: So we talked about medical, we talked about electronics, could you also provide some color on what you’re seeing in your industrial markets and what your sense is of the industrial economy more broadly?
Michael Hilton: Yes. So far just a couple of comment. So a lot of our business goes into consumer non-durables, it’s still probably about 40%-some of our business. And indicators of how that business is doing is around, say, our packaging business and that’s been strong, as I mentioned earlier. When you look at our Product Assembly business in the Adhesive side of things, that’s – a lot of that could be construction related, so windows, flooring, that kind of thing that’s been solid, as well as also some electronics in that business. When you look at our Industrial Coatings business, the automobile sector has been strong for a number of years, that sort of feels like it’s plateaued a little bit and maybe fewer platform orders coming through this year. Our Powder Coating business goes to a lot of – and liquid coating to a lot of general assembly, general machining kind of applications and that’s been solid. And container business is more niche again back to the consumer product side. So, I’d say, generally, we’re seeing a solid market for investment, maybe the one area that’s slowing down a little bit would be the auto sector from a platform standpoint.
Matthew Trusz: Thank you. And then looking at the margin strength in ADS, it’s 29% in the quarter. Could you speak to the role of product mix versus specific improvement at the polymers business, or is it just other factors like continuous improvement?
Michael Hilton: Yes, I would say, one, the mix probably helped us a little bit in this quarter. But the primary focus has been around trying to deliver volume growth and the incremental margin comes from that and then our continuous improvement efforts. So we’ve had strong continuous improvement efforts. We’ve started to get some nice traction in the adhesive side on some new products like our adhesive tracking systems, which is helping in the package business as addition to the sales that we already provide. And then we’ve come up with yet another tiered offering, as an example, in our nonwovens business, which is getting us into some lower tiers some in China, but outside of China and other developing countries. So whole new set of customers that we haven’t tapped into before and that’s a system designed and built in China for us. So we’re starting to see some traction on new products in that business, which is helpful as well as the improvement in the polymer business from a cost perspective in the overall continuous improvement. So it’s a number of things not just one.
Matthew Trusz: Excellent. I appreciate the time.
Operator: Thank you. And our next question comes from the line of David Stratton with Great Lakes Review.
David Stratton: Good morning. Thank you for taking the question.
Michael Hilton: Good morning.
Gregory Thaxton: Good morning.
David Stratton: Really quickly touch on the cadence of which you plan to pay down debt, I know, you’ve highlighted aggressive pay down. But any color you can give around that for modeling purposes?
Michael Hilton: I’d just say, that’s our primary focus. I mean, if you go to our capital deployment model, our primary focus is support organic growth, gave – Greg gave you some insight on what we think for the year there. And next is kind of continue our dividend trend. And then the third in the current environment is probably paying down debt and that’s kind of our primary focus. If you go back a year or so ago after a fairly significant share buyback effort in 2015, we were able to delever within a year over a full point of a multiplier on the net debt-to-EBITDA. So that will be our focus here in the short-term.
David Stratton: All right. Thank you.
Operator: Thank you. And that concludes our question-and-answer session for today. I’d like to turn the conference back over to Nordson Corporation for any closing comments.
Michael Hilton: Well, I’d just like to thank everyone for their interest and support, and again, compliment to our global team for doing an excellent job this quarter. Thank you.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program, and you may now disconnect. Everyone have a great day.